Andrzej Matyczynski: Thank you for joining Reading International's earnings call to discuss our 2022 first quarter results.  My name is Andrzej Matyczynski, and I am Reading's Executive Vice President of Global Operations. With me, as usual, are Ellen Cotter, our President and Chief Executive Officer; and Gilbert Avanes, our Executive Vice President, Chief Financial Officer and Treasurer. Before we begin the substance of the call, I will just try run through the usual caveats. In accordance with the safe harbor provision of the Private Securities Litigation Reform Act of 1995, certain matters addressed in this earnings call may constitute forward-looking statements. Such statements are subject to risks, uncertainties and other factors that may cause our actual performance to be materially different from the performance indicated or implied by such statements. Such risk factors are clearly set out in our SEC filings. We undertake no obligation to publicly update or revise any forward-looking statements. In addition, we will discuss non-GAAP financial measures on this call. Reconciliations and definitions of non-GAAP financial measures, which are segment operating income, EBITDA and adjusted EBITDA, are included in our recently issued 2022 first quarter earnings release on our company's website. We have adjusted, where applicable, the EBITDA items we believe to be external to our business and not reflective of our cost of doing business or results of operation. Such costs include legal expenses relating to extraordinary litigation and any other items that can be considered nonrecurring in accordance with the 2-year SEC requirement for determining an item is nonrecurring, infrequent or unusual in nature. We believe adjusted EBITDA is an important supplemental measure of our performance. In today's call, we also use an industry accepted financial measure called theater level cash flow, TLCF, which is theater-level revenue less direct theater-level expenses. We will also use a measure referred to as food and beverage, F&B, spend per patron, SPP, which is a key performance indicator for our cinemas. The F&B SPP is calculated by dividing a cinema's revenues generated by food and beverage sales by the number of admissions at that cinema. Please note that our comments are necessarily summary in nature. And anything we say is qualified by the more detailed disclosure set forth in our Form 10-Q and other filings with the U.S. Securities and Exchange Commission. So with that behind us, I'll turn it over to Ellen, who will review our 2022 first quarter results and discuss our strategies for navigating Reading through the post-COVID operating landscape followed by Gilbert, who will provide a more detailed financial review. Ellen?
Ellen Cotter: Thank you, Andrzej, and thanks, everyone, for joining the call today. The first quarter of 2022 represented another positive and encouraging step in our operational recovery from the global pandemic. Virtually all of our operations were trading throughout the first quarter of 2022 and have continued to trade through today. All of our cinemas were opened during the quarter except for 2 closed for non-COVID and continue to be open today. Our global circuit delivered strong grosses from The Batman, which, to date, has delivered a global box office of over $760 million and Uncharted, which exceeded everyone's expectations by grossing to date over $395 million globally. Both of our live theaters in New York City hosted public performances through the first quarter of 2022 and continue to be open today. And in Australia and New Zealand, all third-party tenants were open for business through the first quarter of 2022 except for one tenant completing a new fit out. Overall, our Q1 2022 consolidated total revenues of $40.2 million nearly doubled from $21.3 million in Q1 of 2021. And since the pandemic began, the $40.2 million in quarterly consolidated total revenues represented the best first quarter and the second highest quarter for the pandemic period. At $37.3 million, our Q1 2022 global cinema revenue increased 106% compared to Q1 2021. Since the onset of the COVID-19 pandemic, we delivered the second highest quarterly cinema revenues, just below the highest, Q4 of 2021 and the best first quarter for global cinema revenue during the pandemic period. While these results demonstrate significant improvement from the first quarter of 2021, this past quarter was burdened by a few factors: the impacts of Omicron and the BA2 subvariant and the inability and hesitancy of potential customers to return to public settings outside the home, especially in our Australian and New Zealand cinemas. Certain cinemas in Australia and New Zealand were required to operate with capacity restrictions, which I note have been lifted as of today and a reduced movie slate from the studios due to the Omicron variant. Morbius and Downton Abbey moved to the second quarter, and Disney bypassed the theatrical window with Turning Red going straight to Disney+ instead. Turning to our real estate business. At $4.2 million, our total real estate revenue increased by 25% versus Q1 2021 as a result of the reactivation of our live theaters and the resumption of internal cinema rent in Australia and New Zealand following periods of abatement due to COVID. I'll also note here that during the first quarter of 2022, we achieved a company milestone by signing a long-term lease with a leading international retailer for 3 levels of our 44 Union Square property in New York City. This lease represents one of the most important real estate transactions consummated in Manhattan in the first quarter of 2022. Now back to our operating results. We reduced our operating loss by about 16% in the first quarter of 2022 to a loss of $11.8 million. When considering our operational results, we need to take into account that unlike the first quarter of 2021, the 2022 first quarter did not benefit from the Australian jobkeeper wage subsidies nor were abatements of cinema rent of a similar quantity. Also, the first quarter of 2022 reflects the payment of deferred cinema rents and other operating expenses. And the Australian and New Zealand dollars weakened against the U.S. dollar by 6.3% and 6%, respectively, compared to the first quarter in 2021. With our long-held faith in the longevity of the cinema business, we knew we needed to bridge our company to the time when the pandemic would, wane and the recovery would start to take shape. As you know, to combat the impacts of the devastating global pandemic, our Board, together with our management team, elected to monetize certain real estate assets as opposed to diluting our stockholders with an equity raise or burden the future foundation of our company with high-priced debt. Because of the significant proceeds we generated from the sales of our Manukau and Coachella properties in the first quarter of 2021, which had appreciated materially in value during the period of our ownership, our first quarter 2022 EBITDA resulted in a loss of $7 million in Q1 2022 from $36.7 million in Q1 of 2021. And our basic loss per share of $0.70 was significantly lower than our basic earnings per share of $0.87 in Q1 2021. On the flip side and as a result of the strategic and successful monetization, as of March 31, 2022, we are reporting cash and cash equivalents of approximately $67.3 million. On a positive note, we continue our recovery as the impacts of the pandemic subside. Signs of our recovery are clear from our box office of Doctor Strange in the Multiverse of Madness just this past weekend and the recent uptick of in-person conferences and events, including the weeklong CinemaCon in Las Vegas. Picking up on that and looking forward to Q2 and beyond, the opening weekend gross box office engagement for Doctor Strange at many of our theaters across our global circuit represented one of the top 10 highest opening weekend gross since 2015. And the CinemaCon presentation from the studios was inspirational. Not only did the studios endorse their belief in the economic necessity of the theatrical window, but they also presented an exciting and diverse 2022 slate. Paramount showed Top Gun: Maverick, which was a sensational crowd-pleasing blockbuster. The footage from Avatar 2: The Way of Water looked amazing. And movies like Jurassic World: Dominion, Pixar's Lightyear, Illumination's Minions: The Rise of Gru, D.C. Comics' Black Adam and Marvel's Black Panther: Wakanda Forever look like box-office gold. On the non-franchise front, we're very excited about Elvis from Baz Luhrmann, Brad Pitt in Bullet Train, Jordan Peele's Nope, Sylvester Stallone in Samaritan, Olivia Wilde's Don't Worry Darling and David O. Russell's Amsterdam. To sum it up, our 2 business, 3-country business strategy allowed us to survive the darkest days of the pandemic and is leading us to success today. Although we would have preferred to hold assets for future development, we monetized certain assets that we transacted at top prices and took the opportunity to call, not gut or sell at fire-sale prices our real estate portfolio. As you can see from our recently filed quarter reports, we've retained what we believe to be our best and most promising properties. Now not only are we hopeful about the prospects for the global cinema business and its continued recovery, but we're also excited about opportunities to create long-term value for stockholders in our 44 Unit Square and Cinema 1, 2, 3 properties in New York; our assets in Wellington, New Zealand; Newmarket Village in Brisbane; Cannon Park in Townsville; the Belmont Common in Western Australia; and our Viaduct properties in the Arts District of Philadelphia. Now let's turn to our global cinema business. Despite the ongoing pandemic and the presence of the Omicron BA.2 subvariant, we're pleased to report that at $37.3 million, our Q1 2022 global cinema total revenues increased by 106% from the first quarter of 2021. We reduced our first quarter 2022 segment operating loss of $7.2 million by 13% compared to the first quarter of 2021. As I mentioned earlier, these promising results were primarily driven by the continuous operation during the first 3 months of 2022 of our global cinemas coupled with the gross box-office performances of Spider-Man: No Way Home, which released on December 3, 2021, in which to date has grossed over $1.8 billion globally; Uncharted, released on February 18, 2022; and The Batman, released on March 4, 2022. Each of these movies was a huge hit in their own right and continue to validate our belief about the pent-up demand among moviegoers to return to the big screen. During the first quarter of 2022, our global cinema team continued to deliver impressive food and beverage results. Reflecting our continued focus on food and beverage as of March 31, 2022, our F&B SPP set records for the highest Q1 ever in Australia and New Zealand and the second highest Q1 ever in the U.S. I note that at $7.72, our Q1 2022 U.S. cinema food and beverage SPP is higher than most of our publicly traded competitors. Q1 2022 was also our first full quarter offering online ordering of a full food and beverage menu for our Reading Cinemas in Australia and New Zealand. Our cinema operating results are still below prepandemic levels. Cinema revenue for Q1 2022 accounted for almost 65% of the cinema revenue for the same period in 2019. However, demonstrating the significant progress over the last year, our Q1 2021 cinema revenue represented only 31% of Q1 2019. Turning to some specific details about the United States. With all of our U.S. cinemas operating except for one for non-COVID reasons, our Q1 2022 total cinema revenues of $17.5 million increased significantly by $13.7 million or 362% compared to the first quarter of '21. Our cinema segment operating loss reduced to a loss of $6.3 million from a loss of $9 million in the first quarter of 2021. Our specialty cinemas in the U.S., led by the Angelika Film Center in New York City, also continued to rebound. Some highlights include The Worst Person in the World, a Norwegian rom-com that grossed over $325,000 at the Angelika New York alone over its 12-week engagement. And our specialty circuit, along with the industry, benefited from the quirky Indie hit, Everything Everywhere All at Once, which is reporting a domestic box-office cume of $42.8 million. We're also delighted to report that our consolidated theater in Kapolei, which underwent renovations during Q4 2021, reopened on March 3, 2022, and now features renovated lobby areas and a conversion to recliner seating in 8 out of our 16 screens. On April 29, '22, we soft launched at our specialty cinemas our first Angelika membership program, which is free to join. The membership features multiple components. We offer rewards for points earned through the purchase of tickets or F&B. To expand our specialty audience, once a month, we'll offer our members a free mystery specialty film screening at our Angelikas. We'll also offer a free download on Angelika anywhere that will be cross-promoted with the film we're playing in our cinemas. Members also get online discounts for F&B and merchandise. And members are eligible for half-price Tuesdays, where every ticket type is half off on a Tuesday. Without any paid advertising or promotion, we've signed up almost 4,000 members in less than 2 weeks. This effort is just one of the ways our team is actively trying to bring back audiences to our specialty cinemas. In April, we also partnered with Sony Pictures Classics on the promotion, Bring a Friend Back to the Movies, in which we offer guests the opportunity to bring a friend to see the heartwarming film, The Duke starring Jim Broadbent and Helen Mirren for free. Turning to Australia. As of today, all of our Australian cinemas are open and operating without capacity or seating restrictions. However, temporary capacity restrictions were experienced in several locations during the first quarter of '22. Our first quarter 2022 total cinema revenues increased by 40% to $17 million compared to $12.1 million in Q1 of 2021. Conversely, our Q1 2022 cinema segment operating income shrank by $1.4 million to a $600,000 loss compared to Q1 of 2021. This loss was mainly attributable to the increase in occupancy costs resulting from the resumption of internal cinema rent, which we had abated for our own Reading Cinemas during 2021. As you'll recall, we own the fee interest in 5 of our cinemas in our Australian circuit, and our cinema group pays rent to our real estate group with respect to these theaters. This is all washed out in the consolidation at the RDI level. Our Q1 2022 Australian circuit results were further supported by new Reading Cinemas that opened in 2021: a new state-of-the-art 6-screen complex at Millers Junction Village featuring 2 TITAN LUXE auditoriums and luxury recliner seating and the new 5-screen Reading Cinema in Traralgon, Victoria. We continue to build out our cinema portfolio and pipeline in Australia. By the end of '22, we anticipate opening an 8-screen complex, which will be operated under the Angelika Film Center brand at South City Square in Brisbane, Queensland. By the end of 2023, a 5-screen Reading Cinema with TITAN LUXE in Busselton, Western Australia is expected to be launched. Also, we're proud to report that the State Cinema by Angelika in Tasmania, which was acquired by the company at the end of 2019, was just awarded the best metro multiplex cinema in Australia by the Australian Independent Distributors Association. During the pandemic, this specialty location has continued to outperform many of our other Australian theaters, supported by a consistent flow of independent and specialty films and a loyal and devoted clientele that were determined not to let the effects of the pandemic completely change their lives. Now turning to New Zealand. As of today, all of our cinemas in New Zealand are open and operating without occupancy or seating restrictions except for the continuing temporary closure due to seismic reasons of Reading Cinemas at Courtenay Central in Wellington. Our Q1 2022 total cinema revenues of $2.8 million increased by 29% compared to Q1 of 2021. Our cinema segment operating loss of $300,000 increased by $200,000 or 148% compared to Q1 2021, again, due to the resumption of internal rent that was abated in 2021. Now let's turn to our real estate business. During the COVID-19 pandemic, our real estate business, which was less impacted than our cinema business, played a key role in supporting our company's cash flow through the pandemic and reflects the strength of our dual and diversified business strategy. Our real estate business segment continues to support the long-term value potential for our stockholders through the continuous improvement and development of our investment and operating properties. For the first 3 months ended March 31, 2022, our total global real estate revenue increased by 25% to $4.2 million compared to the same period in 2021. Our total real estate segment operating income increased by $1.5 million to $100,000 compared to Q1 2021. These significant increases were driven by a few factors: the rental revenue generated from our U.S. live theaters, which were closed during the first quarter of '21 and the resumption of internal similar rental income in Australia and New Zealand, which was abated during 2021. In the U.S., as a result of the reactivation of our live theaters in New York City, our first quarter 2022 real estate revenue increased by $500,000 or 209% to $700,000 compared to the first quarter last year. And our first quarter 2022 real estate operating loss reduced by 31% to a loss of $1.1 million compared to the first quarter of 2021. As of March 31, 2022, the combined Australian and New Zealand property portfolio consisted of 72 third-party tenants that were all trading with the exception of one tenant in Australia completing a new fit out. And as a property portfolio, it generated a 90% occupancy rate. In Australia, Q1 2022 was the initial first quarter to reflect the loss of revenues and income from Auburn Redyard, which was sold in Q2 of 2021. Despite this loss of revenue and income, our Q1 2022 real estate revenue increased by 9% to $3.1 million versus the first quarter of 2021. And real estate segment operating income increased by $800,000 or 119% compared to Q1 2021. These improvements in our property segment results were driven primarily by the restarting of internal cinema rent being charged to our Reading Cinemas in Australia, which was abated in 2021 due to COVID. In New Zealand, during the first quarter of 2022, the real estate revenue increased by 55% to $400,000 in the first quarter of 2022. We also experienced a $200,000 decrease in real estate segment operating loss in Q1 2022 compared to the first quarter of 2021. These improved results were related to the resumption of internal rent income in New Zealand, which was abated during '21, offset by the elimination of internal rental income from the monetization of our [Imber Cargo] property in 2021. Our team continued to progress key real estate projects during the first quarter of 2022. In the United States, our 44 Union Square property is the newly redeveloped historic Tammany Hall that sits prominently at the intersection of 17th Street and Union Square East in Manhattan and serves as the iconic and monumental Northeast-anchored Union Square Park. The company and its consulting team, including Architects BKSK, developed the former Tammany Hall to celebrate its historic significance while giving it new life as a spectacular new modern office retail building. As we've mentioned in previous calls, the building and the team continue to be recognized with multiple awards for the innovative design. The lower level, ground floor and second floor of the building are now fully leased on a long-term basis to a leading international retailer. We're currently fitting out our new tenant space with the free rent period expected to burn off in Q4 of 2022. We also anticipate completing white-box improvements on certain upper floors to enhance leasing efforts and to be able to use the space for special events and other interim uses pending long-term lease up. Our new leasing team, CBRE, has taken a fresh look at the remaining space and is currently responding to a variety of inquiries from a broad range of potential users, some looking to take all of the remaining floors in our building. The location of 44 Union Square will be key to that property success as it's one of the few brandable buildings in the area. Despite the fact that the retail and office leasing environments have been severely impacted by the pandemic, the Midtown South Submarket is showing signs of improvement. As we regain our footing in our cinema divisions and continue to solidify our foundation, we believe our retained real estate assets, 44 Union Square and Cinemas 1, 2 and 3 in New York, our assets in Wellington, New Zealand, Newmarket Village in Brisbane, Cannon Park in Townsville, the Belmont Common in Western Australia and our Viaduct properties in the Arts District of Philadelphia all continue to offer substantial opportunities to create long-term value for our stockholders. Before I turn it over to Gilbert for a financial review of the first quarter, on behalf of Margaret, our Board and myself, we again want to extend our sincerest appreciation to the global Reading team. Our team worked tirelessly through the most unprecedented situation in our lifetimes. Even though the COVID-19 cases are decreasing, and the government restrictions are easing, we know that we're not completely out of the woods just yet. But it's the daily efforts of the Reading team that are responsible for getting our company and its various divisions to a more stabilized spot. And for that, we again say thank you. With that, I'll turn it over to Gilbert.
Gilbert Avanes: Thank you, Ellen. Consolidated revenues for the first quarter of 2022 increased by 89% to $40.2 million compared to the same period last year. This increase was attributable to the majority of our cinema operating during the first 3 months of 2022 compared to the same period in 2021, where some of our cinemas went through a temporary closure with reduced seating capacity as a result of social distancing and the release of more blockbuster firms such as The Batman, Spider-Man: No Way Home and Uncharted, which boosted our Q1 2022 attendance level. Net loss attributable to the RDI common stockholders for the quarter ended March 31, 2022, increased by $34.3 million to a loss of $15.4 million when compared to a net income of $19 million for the same period of 2021. Basic loss per share was $0.70 for the quarter ended March 31, 2022, compared to a basic earnings per share of $0.87 for the quarter ended March 31, 2021. These results were primarily due to the gain from our sale of asset monetization in the first quarter of 2021 that did not reoccur in the first quarter of 2022. These results were offset by an increase in income tax benefit during the first quarter of 2022 compared to an income tax expense for the same period in the prior year. For the first quarter of 2022, income tax benefit increased by $8.1 million to $0.4 million compared to the equivalent prior year period. The change between 2022 and 2021 is primarily related to the pretax income resulting from the gain from asset monetization in the first quarter of 2021 that did not occur during the first quarter of 2022. Nonsegment G&A expenses for the quarter ended March 31, 2022, grew by 7% or $0.3 million to $4.4 million compared to the quarter ended March 31, 2021, due to an increase in wage and salaries as a result of increased operating activities. This was partially offset by a decrease in legal fees compared to the same period in 2021. Shifting to cash flows. For the quarter ended March 31, 2022, net cash used in operating activities increased by $10.3 million to net cash used of $14.1 million when compared to the same quarter of 2021. This was driven by $22.3 million increase in net cash and net changes of operating assets and liabilities, primarily taxes payable, accrued expenses, accounts payable and some rent, partially offset by an increase in cash inflow from an improvement in operating activities. Cash used in investing activities during the quarter ended March 31, 2022, increased by $65.7 million to $1.8 million mainly related to the proceeds from the monetization of our assets in 2021 that did not occur in Q1 2022. Cash used in financing activities decreased by $44.1 million to $1.6 million during the quarter ended March 31, 2022, mainly due to the debt repayment in Q1 2021, which did not reoccur during Q1 2022. Turning now to our financial position. Our total assets on March 31, 2022, were $670.6 million compared to $687.7 million at December 31, 2021. This $17.1 million reduction was primarily driven by a decline in cash and cash equivalents by which we funded our ongoing business operation and paid down debt. As of March 31, 2022, our total outstanding borrowings were $238.1 million compared to $236.9 million in December 31, 2021. This increase was due to the strengthening of our Australia and New Zealand dollar against the U.S. dollar at March 31, 2022, compared to December 31, 2021. Our cash and cash equivalent as of March 31, 2022, were $67.3 million. We are currently in compliance with all of our loan covenants. We continue to be in compliance with our terms of our loan agreement without the need of additional loan modifications. We believe that our lenders understand that the current situation relating to COVID-19 pandemic is not of our making and that we are doing everything we can to deliver on our strategic priorities. We feel that we continue to have a good relationship with our lenders. We did not purchase any shares in the first quarter of 2022 and due to COVID-19 pandemic and its impact on our overall liquidity. Our stock repurchase program has and will likely continue to take a lower capital allocation priority for the foreseeable future. Our Board extended the stock repurchase program for another 2 years to March 10, 2024. With that, I will now turn it over to Andrzej.
A - Andrzej Matyczynski: Thanks, Gilbert. First, I'd like to thank our stockholders for forwarding questions to our Investor Relations e-mail. And as always, in addition to addressing some of your questions in Ellen's discourse, we've also compiled a set of questions and answers representing the most common questions and recurring themes e-mailed to us. So our first question, can you elaborate on prior year's $4 million accrual for the settlement of certain wage and hour claims? Was this amount reflective of multiple years of claimed activity or single year? And does the settlement involve Reading bearing a higher level of wage costs annually going forward? Ellen?
Ellen Cotter: Stipulation and agreement for class-action settlement involves our California cinema employees who work for the company at its various cinemas in California from early 2015 through the preliminary court approval date. At this point, we expect that the preliminary court date will occur sometime during the second or third quarter of 2022. The settlement amount reflects, in addition to actual back compensation to employees, plaintiff's attorneys' fees and various statutory penalties and interest. We negotiated the right to contribute any unclaimed portion of the settlement amount to the Will Rogers Charity, which supports employees who serve the motion picture industry. Going forward, we anticipate that because of the increases in both minimum wage rates and related employment costs across the country, labor will continue to be a constant operational focus for us. However, we don't believe that the agreement for class-action settlement itself will directly impose material increases in our labor cost for our U.S. circuit going forward.
Andrzej Matyczynski: Thanks, Ellen. Our next question talks about our debt situation. It looks like it was a sizable BofA U.S. term loan that got reclassified to cause current liabilities to substantially increase. What is the timing and status of paying off or replacing this loan with longer-term financing? Gilbert?
Gilbert Avanes: The Bank of America line of credit was converted into a term loan with scheduled repayment maturing on March 6, 2023. As with all loans that come up for refinancing, we work diligently with the current lenders and at the same time, reach out for competitive bids from other lenders for most of the beneficial long-term loan financing. We believe that our company has sufficient resources to meet its obligation as the loan becomes due.
Andrzej Matyczynski: Thanks, Gilbert. Sticking with the debt situation, now that the 44 Union Square loan can be repaid without penalty, what are your prospects, timing and status toward replacing this loan with a lower rate and longer-term financing? Gilbert?
Gilbert Avanes: Our current 44 Union Square loan with Emerald Creek Capital provided sufficient funding to absorb the construction loan as well as additional funding for the building. During the first quarter of 2022, we achieved a company milestone by signing a long-term lease with a leading international retail to occupy 3 levels of our 44 Union Square property in New York City. We're currently working actively with potential tenants for the remaining floors. We continuously monitor the net benefit and the timing for Union Square refinancing based on building's current lease status as compared to the refinancing benefit derived from negotiating ladder with a fully leased building.
Andrzej Matyczynski: Thanks, Gilbert. Continuing on the 44 Union Square but on the operational side, when does Reading expect the new lease at 44 Union Square to begin to cash flow to us? How much time is typical in a lease location such as 44 Union Square before a landlord can expect to see cash flow being collected once the tenants is signed? For example, what duration of free rent is typical of these deals? Or are we publicly offering? Ellen, would you like to handle this?
Ellen Cotter: Thanks, Andrzej. Based on our particular lease terms and the construction schedule for completion of the landlord's work, which is already underway at 44 Union Square, we expect cash rent to be paid at some point before the end of the fourth quarter of 2022. And based on discussions with potential tenants and our brokers about the leasability of 44 Union Square, the length of a free rent period, if any, is subject to multiple variables or various economic terms supporting a deal. For instance, the particular use, the base rent, the term, the tenant allowance and the extent of any potential landlord work may all factor into how long, if any, a free rent period is offered for a potential tenant.
Andrzej Matyczynski: Thank you, Ellen. Our last question relates to real estate and our ability to fund any buyback of our shares. In light of the very cheap RDI stock price, what real estate, including Cinemas 1, 2 and 3, doesn't offer optimal returns to monetize that parcel, pay down costly and/or near-term debt and eventually, post-pandemic, fund the buyback of more deeply undervalued RDI shares? Well, our stock repurchase program, as Gilbert mentioned, has been extended by our Board on management's recommendation for another 2 years through March 10, 2024. We continue to balance our CapEx and OpEx requirements, together with our commitment to our stock repurchase program. And we'll recommence that program as circumstances allow. But clearly, given current cash needs and opportunities, we do not foresee using material assets to buy back stock in the immediate future. We need a while longer to judge the strength of the rebound in cinema attendances. Currently, we have no plans to further monetize any of our remaining real estate assets. Historically, our approach to real estate assets has been predominantly a buy-and-hold strategy. However, due to the COVID-19 pandemic, we monetized assets that had minimal impact to our historical cash flows that have greatly appreciated in value, and which would require substantial capital investment to take them to their next level of value. We generated $141.9 million in cash, unlocking book profits of $90.2 million. We did not take on any high-interest rate debt or dilate stockholders by issuing equity at the stretched prices. In addition, we further enhanced our financial position by giving us the ability to pay down debt. The monetization of these assets has strengthened our balance sheet in a time of global uncertainty. At this time, we believe our balance sheet is well positioned to provide our company with continued flexibility to allow the cinema industry and our cinema cash flows time to rebound. As we have already said, we believe our retained real estate assets, 44 Union Square, Cinemas 1, 2 and 3 in New York, our assets in Wellington, New Zealand, Newmarket Village in Brisbane, Cannon Park in Townsville, the Belmont Common in Western Australia and our Viaduct product properties in the Arts District of Philadelphia all continue to offer substantial opportunities to create future long-term value for our stockholders. Also, it is to be remembered that the monetization of future assets would trigger the recognition of material taxable gains, involve transaction costs and limit our long-range strategic opportunities to add value to these assets. That marks the conclusion of the call. As usual, we appreciate you listening to the call today. Thank you for your attention, and we wish everyone good health and safety.